Operator: Good morning, and welcome to the Park-Ohio Fourth Quarter 2014 Results Conference Call. [Operator Instructions] Today's conference is also being recorded. If you have any objections, you may disconnect at this time.
 I would now like to turn the conference over to Mr. Edward Crawford, Chairman and CEO. Please proceed, Mr. Crawford. 
Edward F. Crawford: Well, thank you. Good morning, ladies and gentlemen. Welcome to the Year End 2014 Park-Ohio Conference Call. I now would like to introduce Scott Emerick, Chief Financial Officer to cover this safe harbor statement. 
Scott Emerick: Thank you, Ed. Good morning, everyone, and thank you for joining us today. If you've not received a copy of our earnings press release, you can find it on the Investor Relations section of our corporate website at www.pkoh.com.
 I want to remind everybody that certain statements we make on today’s call, both during opening remarks and during the question-and-answer session, may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.
 These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the earnings press release as well as in the company’s 2014 10-K that will be filed later today, March 16, 2015, with the SEC. 
 The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, the company may discuss as adjusted earnings and EBITDA as defined.
 As-adjusted earnings and EBITDA as defined are not measures of performance under generally accepted accounting principles. For a reconciliation of net income from continuing operations to as-adjusted earnings and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA as defined, please refer to the company’s recent earnings release. Any references we make to earnings per share are on a fully diluted basis.
 Back to you, Ed. 
Edward F. Crawford: Thank you very much, Scott. I now would like to introduce Matthew Crawford, the President of Park-Ohio. He's going to cover the 2014 year in some detail. I look forward to the presentation. Matthew? 
Matthew V. Crawford: Thank you very much, and good morning. We're happy to report that we set a new record for quarterly revenues in the fourth quarter of 2014. In addition, we set new annual records for revenues, GAAP earnings, as-adjusted earnings and EBITDA as defined. 
 While we're very proud of our 2014 full year performance, earnings in the fourth quarter did come in lower than we forecasted due to unfavorable sales mix and underperformance in our Engineered Products segment. To be clear, most of our businesses operated near or at all-time highs in terms of profitability with some discrete issues in our industrial equipment and our aluminum products businesses prevented us from achieving our goals. Still, our U.S. GAAP earnings increased 19% to $0.86 per share compared to $0.72 per share in the fourth quarter of 2013. Our adjusted earnings increased 6% to $0.90 per share compared to $0.85 a year ago. 
 Let's begin our detailed discussion of the fourth quarter results with revenue. Net sales increased 21% to a quarterly record of $373 million compared to $309 million in prior year. The revenue increase is attributable to each of our business segments with every segment reflecting double-digit revenue growth. Approximately 35% of the revenue growth is attributable to acquisitions while the more significant growth is attributable to organic growth initiatives.
 Gross profit increased $9.6 million to $56.9 million in the fourth quarter. The gross profit margin was 15.3%, which is consistent with the gross profit margin the fourth quarter of last year. On a sequential basis with the third quarter of 2014, gross margin declined 230 basis points from 17.6%. The sequential decline in gross margin is largely due to the sales mix changes and lower fourth quarter margins in the Engineered Products segment.
 Consolidated SG&A expenses of $33.7 million increased $5.7 million or 20% compared to 2013, but SG&A expenses as a percent of net sales remained level at 9% in 2014 and '13. The increase in SG&A expenses is predominantly attributable to the $1.5 million of incremental SG&A costs associated with the acquisitions and $1.6 million of incremental incentive comp associated with the timing of discretionary incentive compensation expense recognition and the incremental effects of the stock awards.
 Interest expense of $6.7 million is $200,000 more than last year due to the fourth quarter acquisitions. 
 Our effective tax rate for the fourth quarter of 2014 was 32.1% and was higher than 2013's effective tax rate of 26.6%. The increase in the effective tax rate is related to the benefit that was realized in 2013 from a reversal of a valuation allowance against state tax loss carryforwards. Our full year 2014 effective tax rate came in at approximately 34.7%.
 Now I'll cover the segment results. First, let's review the Supply Technologies segment performance. Supply Technologies segment revenues represented 37% of consolidated revenues during the fourth quarter of 2014. Revenues increased $16.7 million or about 14% over the prior year and totaled approximately $139 million. About 5% of the revenue increase compared to '13 is directly attributable to acquisitions. The majority of our growth in the fourth quarter, however, was very strong organic growth, which contributed 9% of the year-over-year revenue increase. This growth was driven broadly with especially strong performance in heavy-duty truck, which was up 28%, power sports and recreational equipment, which was up 20% and semiconductor, which was up 59%. In addition, our fastener manufacturing business increased revenues by 14%. We remain encouraged by the continued growth and momentum in these well-diversified markets of our Supply Technologies segment as we grow within the global product platforms of our customers. 
 With the increase of the net sales, segment operating income increased $2.5 million or 34% to $9.8 million. Segment operating income margin was 7% in the fourth quarter of 2014, which was 110 basis point improvement compared to last year's fourth quarter segment operating income margin of 5.9%. Included in this improvement is the improved impact of the European acquisitions completed late in 2013.
 Next let's discuss the Assembly Components segment. Assembly Components revenues represented 37% of consolidated revenues. Net sales increased $29.9 million or 27% to approximately $139 million in the fourth quarter of 2014 compared to 2013. Approximately 41% of the growth in this segment is attributable to the organic growth in our aluminum business and on the strength of our key programs. In particular, the Chrysler 200 and Jeep Cherokee platforms are performing very well for Chrysler and are drivers to this increase. Based on this strength and the continued implementation of new business, aluminum revenues increased 28% compared to the prior year. In October, we acquired the Autoform Tool & Manufacturing company or Autoform for short. Autoform is a strategic fit with our investments in Fluid Routing, RB&W and General Aluminum, which are centered around technology, which is focused on reducing CO2 emissions and increasing fuel efficiency. The Autoform acquisition contributed $13.1 million of revenue since its date of acquisition.
 For the fourth quarter of 2014, segment operating income for Assembly Components grew $4.1 million to $10.7 million, which was a 62% improvement over the prior year. Segment operating income margin was 7.7%, which exceeded the 6.1% from the prior year. The Aluminum business and the performance of our 2013 Bates acquisition, along with an accretive contribution from the Autoform acquisition in its first quarter of ownership, are the key drivers of this improved profitability and the improved margins. As I mentioned in my earlier comments, aluminum is still struggling to meet our profitability expectations, but has entered into a new phase of stability across most of its operations while we continue to focus on improved execution and improved consolidated income. 
 Now let's move to a discussion on the Engineered Products segment. Engineered Products revenues represented 26% of consolidated revenues. Net sales increased 22% to approximately $95 million in the fourth quarter of 2014 compared to 2013. On the strength of the backlog that we've been discussing throughout 2014, revenues in the industrial equipment business grew 25% in the fourth quarter compared to last year. Even with the significant revenue increase, our higher-margin aftermarket product sales declined 5%. Within the aftermarket sales, some of our highest margin oil and gas products experienced a decline of 14% as a dramatic drop in crude oil prices in November of 2014 adversely affected this very profitable part of the business. Our forging business revenues increased in the fourth quarter of 2014 due to strong year-end performance in our local motor crankshaft operations.
 Segment operating income decreased $1.8 million or 15% to $9.9 million. In addition, segment operating income margin decreased to 10.4% in the fourth quarter of 2014 compared to 15% in the fourth quarter of 2013. While our forging business improved its segment operating income contribution, the industrial equipment business underperformed compared to 2013 and our earnings expectations in the fourth quarter. As we just mentioned, the proportional revenue mix of typically lower-margin capital equipment business was much more significant in the higher-margin aftermarket business compared to last year or for that matter was normal in the business. In addition to the unfavorable product mix between capital equipment and aftermarket, the mix within aftermarket product sales was unfavorable as we experienced revenue declines in our highest-margin oil and gas aftermarket products, which, in some cases, carry above-average margins.
 As it relates to our equipment sales, mix was also challenging in 2014 as 2014 sales had a higher percentage and more competitive foundry and steel equipment sales. Similar to the aftermarket effects, oil and crude prices in the fourth quarter of 2014 had resulted in a great deal of uncertainty in the oil and gas industry. As a result, we have seen our order pattern for oil and gas capital equipments and aftermarket products become wildly unpredictable and some large orders are either being delayed or suspended. In addition, the strengthening U.S. dollar is making the courting process difficult for us against European manufacturing base competitors. Our backlogs remained strong by historical standards. So we're still winning business, but at the cost, in some cases, of lower margins.
 On a positive note, we do expect the currency volatility to benefit modestly the performance of our newly acquired Saet platform, located principally in Italy. 
 While these global economic issues and our mix of products were not favorable, we also experienced operational inefficiencies and execution difficulties in managing the large amount of business and order volatility in this very dynamic fourth quarter. Some challenges are running behind schedule, some customers were completing respecifications and we were experiencing some material shortages. While we are anticipating that global economic issues affect this business and some unfavorable mix to continue into the business through 2015, we do not expect -- excuse me, we do expect that we can shore up some of the unusual operational inefficiencies incurred over the holidays of 2015.
 Let me take a moment to comment on corporate expenses in the fourth quarter, which totaled $7.2 million and exceeded the prior year corporate expenses by $0.9 million. The increase to corporate expense is primarily related to the timing of incentive comp expense recognition and increased restricted stock awards in the fourth quarter of 2014.
 Now let's highlight the cash flows for 2014. As we projected, operating cash flows were very strong in the fourth quarter with $20.1 million of operating cash flows generated in the quarter to a total of $53.6 million for the year ended December 31, 2014. Net capital expenditures were $11.9 million in the fourth quarter of 2014 and $25.8 million for the full year. 
 In spite of falling short of some of our objectives, overall, we're pleased with our fourth quarter performance and the solid growth and improvements over the prior year. Furthermore, we are very excited about our record sales, earnings and EBITDA as defined for the full year of 2014 and we're excited to begin 2015 with the contributions of our most recent strategic acquisitions complementing our business portfolio.
 At this time, we'd like to provide you an outlook for 2015. We're forecasting full year consolidated net sales to increase approximately 14%. All 3 segments are forecasted to experience good top line growth. We expect our growth in the Supply Technologies segment to come primarily from strong organic growth, but some growth will be attributable to the Apollo acquisition. Our growth in the Assembly Components segment will come from the Autoform acquisition and strong organic growth in the aluminum business of approximately 11% related to the ramp-up in Chrysler 200, Dodge Ram and the Ford CD4 platforms. 
 We're also anticipating good growth in the Engineered Products segment, primarily from the industrial equipment business, as we benefit in 2015 from the Saet acquisition and the strong backlog that still exists in this business. In fact, backlog as of December 31 is $200 million, which is 37% greater than at the end of 2013. The strong growth in the industrial equipment business, coupled with good growth in our Arkansas forging business, will be slightly offset by sales reductions at our crankshaft forging business as this business waits for its primary customer to complete its design on the next-generation North American emissions-compliant diesel locomotive engine.
 From a segment operating income margin perspective, we are expecting margin expansion in our Supply Technologies business segment and our Assembly Components business segment. However, we are expecting segment operating income margins in our Engineered Products segment to decline in 2015. We expect the headwinds in the oil and gas industry caused by the volatility in existing low crude oil pricing levels and the added competitive pressures that we face globally due to the strengthening U.S. dollars against the international manufacturers with less expense currencies to continue to put pressure on us as we move forward into 2015.
 We expect consolidated earnings from continuing operations per share to increase between 17% and 28% to be in the range of $4.30 to $4.70 per share for 2015 as compared to $3.68 per share in 2014. 
 We expect our as-adjusted earnings per share to be in the range of $4.32 to $4.72 per share for 2015. We expect our as-adjusted earnings per share to increase between 13% and 23% over our as-adjusted earnings per share of $3.84 in 2014. 
 We're forecasting cash flows from operations to be approximately $75 million. In addition, we are forecasting EBITDA as defined to be in the range of $145 million to $152.5 million for 2015.
 We're forecasting capital spending for 2015 to total between $40 million and $45 million with the majority of the spending representing growth capital, primarily for the Assembly Components and Engineered Products segments. This is a significant increase to our historical annual capital spend rates and is a reflection on our growing portfolio businesses and some very large individual projects coming to fruition in 2015. 
 We expect depreciation and amortization to be approximately $29 million.
 Finally, we're forecasting our effective tax rate to be 35.3%. I'd like to close by saying how confident we are in the positioning of all of our businesses going into 2015. While we recognize some headwinds, specifically in our Engineered Components group, we believe we are positioned to grow across the company and once again, achieve record results.
 Thank you, and I'll turn it back over to Ed. 
Edward F. Crawford: Well, thank you, Matthew. Well, if you're listening to this conference call and you're disappointed with Park-Ohio's results for 2014, you're not alone. Results of not meeting The Street consensus and our own projections does not make us happy. 
 We're not going to make any excuses for the results. However, I would like to point out a few issues that weighed heavily in the 2014 outcome.
 In 2013, we put in place the Park-Ohio N5 plan, stating a goal of reaching a $2 billion run rate revenue by the end of 2017. In the first 2 years of that effort and with projections for 2015, the first 2 years of the 5, we'll have had grown this company over $400 million in that period through acquisitions and internal growth. Further, to reach the goal by 2017, we have to grow another $425 million --
 Let's talk about how that's going to be accomplished. We feel very comfortable that we're on point, on goal. It is simply through organic efforts. As we pointed out in the past, particularly Supply Technologies case, the investment in setting up an account, bringing in the inventories, setting up the warehouses, setting up the complete ability to deliver to world-class customers around the world our supply technologies service, the expenses and efforts run 3 to 5 months before we recognize revenues and profit. This is something that's been in the queue for years. When you grow organically, you have to invest the money, you have to put it up front and you have to have it in place so, in fact, you can take advantage. So when you see the tremendous organic growth, particularly in Supply Technologies, in 2014, there's been a lot of money spent setting the table. These are lifeline cards, meaning you're taking accounts that are going to be here [ph] for 10 years, but you have to spend all the money up front in the inventories and receivables. That's part of the way, particularly in Supply Technologies, any company grows. There is an investment before you get to the revenues and profits.
 When you look at transactions in 2014, whenever we're asked if we have to make acquisitions to meet the goal, the N5, and we might have been at the rail 13 to 14x this year in '14 thinking we had acquisitions. We're out there competing against private equities willing to pay 7, 8 and 9x EBITDA. We can't spend that kind of money. So we have to work harder at finding acquisitions, and unfortunately, in this particular year, we worked all year, we had a number of opportunities, but we only could get 2 deals done that were done in the fourth quarter. These are transactions that are very important, very strategic and will contribute long-term value to this company. But again, all money spent setting up acquisitions, closing all that dollars -- virtually, all those dollars kicked into '14 P&L. So I think that these 2 issues, I'm trying to point out -- what I'm trying to say is this is a lot of this business, a lot of the growth and when you're trying to grow $800 million in 5 years, it's going to be bumpy. This is not a well-traveled path here. And more important, we expect that and it will be up, it will be down. Gas low, it was a terrible year. But on the other hand, recreational vehicles, their organic growth. So it's important that we realize that the impact of '14 were things that have great, great opportunities for '15 and beyond. The company posted in 2014 record profits, record in every category: revenues, net income, earnings per share, EBITDA in '14 over '13. It may be bumpy to get to 2017, but we're pointing out things that are continuing to reoccur that does not represent a quarter. All these expenses, front-end loading does not represent -- I wish we'd made those acquisitions in March. Things would have been rosier, the call would have been rosier. So we did, we made them the fourth quarter. Why? And we might not have made them at all if we couldn't get them at our price. So I'm not going to break discipline. I'm not going to change the plan. Our N5 is going to drive this company. We're going to $2 billion. So it may be bumpy until 2017, but we haven't lost our way and we're going to have a better year in '15 than we did in '14.
 I'd like to open the lines to questions. Thank you very much. 
Operator: [Operator Instructions] Our first question comes from the line of Ajay Kejriwal with FBR Capital Markets. 
Ajay Kejriwal: Ed, comments on '15 and 2017 and then reassurance, so thanks for that. Maybe if we can start with just on the acquisition, to the 2 deals that you completed. Any color that you can provide as with regards to valuation, either numbers or just a sense on what the valuations were versus the deals that you've done in the past? And then what you're expecting in terms of EBITDA accretion in '15? 
Matthew V. Crawford: Ajay, I'll jump in, it's Matt. These are both very exciting acquisitions. I'll take them one at a time. Unfortunately, they had little or no impact to the P&L in 2014, but they will be decisive, I think, going forward. First, we'll talk about Saet. Saet is a strategic -- perfectly strategic add-on for our industrial equipment group. It is a -- it will broaden our induction hardening business to be truly a global platform the same way that our melting business is. The headquarters and one of the manufacturing locations is in Italy. They also have excellent presence in both India and China. So we're very excited about the fit of that business into ours. It is from a valuation standpoint a little bit of a turnaround. The business had been owned and managed by a private equity firm. So while we think we can have very significant and near-term impact on the profitability of the business, it will be difficult to give you a valuation metric because it was a turnaround and we focused the acquisition price more on the asset values, if you will, rather than at the multiple of EBITDA. Once again, we think this will create exceptional value. It will be a business that will probably not be accretive to our margins in industrial equipment and in the Engineered Products segment in year 1, but one in which will be, from a valuation standpoint, very acceptable. So one of the things that I talked about in my comments and we're struggling with here a little bit is a lot of good stuff going on from a sales perspective and a growth perspective in industrial equipment, but we're seeing sort of a pretty negative margin mix. Having said that, Saet is going to be a very exciting both from a value perspective and a long-term franchise increase perspective. Secondly -- but we do have some internal work to do. Autoform, secondly, Autoform is a -- was a and is a excellent business from a financial perspective. It was a fast-growing business. I think we talked a little bit at the time about the area -- the place and how it fits strategically with Fluid Routing. We're very excited about the products and the customer relationships. The business was bought. It's sort of a traditional, the high multiple from our perspective, but it had incredible amounts of booked business and also a significant amount of growth opportunity for us. So it also will, I think, have more accretive affects moving forward not in the end of last year or maybe the early part of this year, but as they begin to hit their growth targets and the commensurate profit performance, I think you'll be real excited about that as we move into the third and fourth quarter and beyond. 
Edward F. Crawford: Ajay, let me throw a couple of other thoughts about ATM. This is part of our strategy. If you want to talk about high-tech, I mean, this company in the gas railings and the way it sends this to the engine rather than dropping in gasoline for consumption and burning and the clarity initiatives. This a great company. It fits in perfectly with our initiatives in the rubber business, which has been going on for 3 or 4 years in the turbocharge side of it and of course in our aluminum strategy. I think this is something that fits in perfectly with the company. We're selling to the same people more products and the barrier to entries of some of these products is increasing, but this fuel system is very important. We're selling to everyone, all the transplants with this. So we're excited about the ATM. Again, we did not reach for this. I mean, as you know, we're interested in buying things at multiples of 6 or under or getting them there very, very quickly. Again, in this contest with private equity, they can't go after ATM. They can't go there because they don't want to take on the problems of making the changes. So that's how we split their marriage. It's a great company. They didn't want it to figure out how to get this done, but it's perfect for us and we're solving the problems and we're off to a great start. Again, it's all front-end loaded. It's all expenses up front. The contacts we have are out there 10 to 12 years and they don't get changed gas injection in the engines. They don't get changed turbochargers and they, I'm sure, don't change aluminum. Now I want to go back one more time to this Saet. I know if you're sitting there and you'd say why in the world are they going into a business with more capital equipment in Italy when they're having problems in Warren, Ohio. Well the issue is we're not having problems in Warren, Ohio. The gas and oil might be down, but that doesn't affect the long term. And by combining this with the Ajax Tocco main and Saet in that facility, they ship into Korea, they ship all over. It's an amazing company. We bought this when they're at the right price. Again, it's a turnaround. It's what we do. It's what we're good at. It takes expenses and money up front. But this is not the same. So you see all expenses, everything in these 2 companies all rolled into '14, a more [indiscernible] '14, there'll be a little bit in the first quarter of '15, but that doesn't mean that these aren't going to be great companies, come back and ask about those questions. Great pricing, perfect profile for us and we split through our private equity. 
Ajay Kejriwal: That's very helpful and only consistent with themes you have done in the past. So maybe on Saet and the segment, I'm looking at margins and sounds like Saet may have had some impact. So I'm just trying to get a sense of what the legacy business, the margins there might have been at Saet. It sounds like they may not have been down as much as based on the segment results here. 
Edward F. Crawford: So the margins, as you know, in the cap add [ph]  equipment business is this has been the most profitable area of the company for years and years, but maybe outside a little on the forging. But these are at margins -- EBIT margins between 15% and 20%. So we would not make an acquisition to get a business that far away unless we feel it's going to turn as least as much as our domestic operations are, but it puts us in a footprint over there to grow really substantially because it's a long way to ship capital equipment from their viewpoint into the eurozone particularly. So the margins are -- we have enhanced whether it's historically, we've created revenue in the historical segment with silo, which is -- has been the leader relative to, on a historical basis, over 10 years. The margins have been best there, we're happy with this, and its technology in [indiscernible]. This purchase is #1 or #2 in the field for the world. If I understood your question, I would expect next year for -- on the equipment side, Saet is principally an equipment provider not an aftermarket provider, though they have some of that, that's an area of focus for us. I would expect them to be accretive to our equipment margin. But that's probably '16 of that as we complete the turnaround in the first half of this year. 
Ajay Kejriwal: Good. And then how should I think about the trajectory at the segment level. I know you said for '15, we should expect some compression overall, but sequentially, the next couple of quarters, is the fourth quarter margin run rate. And does that improve near term or is that more a second half event? 
Matthew V. Crawford: Ajay, it's Matt again. I would tell you that there was -- we were, I mean, candidly caught a little bit flat-footed maybe like others, maybe not, about the shift from aftermarket, the loss, which is called the loss of aftermarket business late in the year, November and December, particularly in oil and gas, but not only oil and gas. Those mix issues, I'm afraid, will persist a little bit into the first part of this year. We are -- so we're pretty thoughtful about the first quarter and maybe even second quarter as well relative to expecting a bounce back in margins there. It certainly would be welcome if we saw it. But right now, we see ourselves as, from a business perspective, as being focused on converting large amounts of backlog and capital equipments turning around Saet and continuing to try and execute at the highest level there. I did mention in my comments we had some execution issues in the fourth quarter, know it's just a vast amount of work we're trying to get out. So I think as we get into the year and we are staffed up to get the amount of backlog out that we struggled with over the holidays, I think we'll see some margin opportunity. I think that as we perhaps see some leveling off or improvement in the aftermarket business, maybe that will come in oil and gas. There could be some other opportunity, but we are in the toughest part of the cycle right now. Aftermarket is down. Equipment's up. Equipment is generally lower margin and has a lot of execution effort and risk. So while I think on a nominal dollar basis, we'll do very well, from a margin mix perspective, we're going to be fighting the battle the first half of this year, for sure. 
Ajay Kejriwal: And last question for me and I'll pass it on. So Supply Tech you've seen nice organic growth. Maybe color into what expectations are in '15. Any color by markets, that'd be helpful. 
Matthew V. Crawford: Ajay, I think I discussed specifically the growth expectations. We are -- we would expect and once again, this goes to our overall mix issue. I know that there is -- we did underperform our own expectations, but we did see a significantly, a decidedly -- one of the problems from a market perspective is Supply Technologies had some of our highest returns on invested capital but it is a lower-margin business. We are not disappointed with Supply Technologies growth. But in a vacuum, the Supply Technologies growth hurts us as on a mix basis. So that doesn't bother us quite as much because when Supply Technologies is sort of ticking away at 14%, the return on invested capital is through the roof but it does cause for some tough questions on the calls like this about overall consolidated margins. We believe that the new order pipeline we -- a long time ago we have a stated goal for N5, which is a 12% growth rate, half coming from organic and half coming from acquisition. Ajay, we continue to think supply technology is a part of the cycle, and as my dad referenced, we've made the investments up front to continue to grow at greater than our 6% organic bogey. Obviously, we murdered it last year. I would expect this to beat it again, this year. 
Operator: Our next question comes from the line of Steve Barger with KeyBanc Capital Markets. 
Steve Barger: First question, results versus expectations. We're getting pushed to the right over the past few quarters. So it just what -- wasn't just 4Q. So my first question is on the forecasting process itself. Have you taken a different approach to the 2015 outlook that gives you more confidence that these numbers are achievable? And can you talk about the level of conservatism you may have built into the forecast? 
Matthew V. Crawford: Steve, this is Matt. Our processes is a bottom-up process, and one of the challenges we have as our business gets bigger and maybe we recognized this a little bit last year, is a bottom-up process with a broader, more diverse business, has its challenges. And identifying and focusing on the potential risks, particularly the potential risks that could result in a $1.2 million variance, which is we all know is $0.10, so I use it just as a proxy, has its challenges. So while I won't say we changed our process, I think I would tell you that we go into 2015 in the planning process cognizant that those risks exist, number one. So I'm not saying we've changed our process to top-down. I'm just going to say we're more aware of the pit holes that are out there that could hit us for $1.2 million, $1.4 million, $1.8 million. So maybe we're -- we took the hard path of that awareness, but we haven't changed our process. The other thing I would tell you is that we also recognize maybe more so this year than last year that we do have some industries, most of our businesses operating at historic highs. So we recognize that there's limited upside in some of those businesses. And we also recognize, I think, that there are areas in pockets of our business that are going to see headwinds. And the one I mentioned briefly, although it's small percentage of business is the locomotive business, Caterpillar doesn't have a compliant engine so we're going to see a little headwind there. We also recognized that this product mix issue and the lack of some oil and gas business is a headwind, which will persist that we didn't see coming. I mean, frankly. So I don't want to say that our process changed, we're bottom up, but I think we're smarter about where the risks are and I think we are confronted by a couple that maybe we didn't see as clearly as we should have So in that sense, I don't know that I'd call it more conservative, but I'd call it a higher-quality profit, I guess. 
Edward F. Crawford: Steve, we are guiding to -- 2015 is guided or simply embedded in that guidance is the fact that we did not accomplish the 2014 numbers, on a yearly basis or on a quarterly basis. In other words, that is the common 80 [ph] very important thing to the management of this company. So the metrics and how we go about it hasn't changed much. The clarity in the message of meeting the numbers we put on the table is there. Before, we maybe have to change. It's at least the change in my mind because that's the way the standards are set here now, just like I feel the same way about the N5. This is, if I've learned anything, that's what I've learned. And so when you ask me if there's been special changes or any ideas in the 2 -- '15 plan over the '14, that's one of them and probably the most essential one as we move forward and not only in '15 -- in '15, '16, '17 and the future of this company, that's our goal. 
Steve Barger: Okay. And to the N5 point, I hear you on how tough the acquisition market is right now, how it can cause bumpy results. If you're not finding acquisitions that makes sense, is there any thought among the management team to not step away, but deemphasize the top line goal and really focus on getting the operational house in order, unlocking incremental contribution margin and free cash flow, because it seems like profitable growth is better than growth at any cost? 
Matthew V. Crawford: Steve, let me start. I'm sure my dad may have some comments. But let me start by saying, profitable growth is the principal objective. I know it doesn't feel like that right this second, but it is the only objective. So that does not always mean accretive growth. As I mentioned a couple of minutes ago to Ajay, we do have a wide profile of margin of businesses with highly varied margins that some of the lower-margin businesses provide very large returns on invested capital. So I'm not suggesting we'll always see accretive growth, but I do think that profitable, appropriate growth in each business is what we are chasing. I am very encouraged that we go into 2015 with a forecast that roughly matches or it's just barely short of our N5 goal for 2015. So we're -- we are -- we have completed a number of acquisitions, as you know, in the last 12 months and I would say that I think you'd characterize the position we're in accurately, which is not only that we're always focused on, but we've got some work to do to make sure that Autoform and Saet and all this huge backlog in equipment can execute in a way that maximizes their margin potential. How that shakes out in the consolidated results remains to be seen depending on who's growing faster and so forth. But no, it is our goal and I think it's particularly important as we focus on the most recent acquisitions. 
Edward F. Crawford: Steve, there's no reason to believe this company has lost control of the ability to operate these companies profitably. And when we talk about the N5 this year, I think the EBITDA to sales was 9.3% versus 9.6% last year. That's not a lot of give off and we can make the N5 goal and we can reach there with, again, our usual [ph] metrics with between 9% and 10% EBITDA to sales. So we haven't lost any control here. We haven't lost anything that would hopefully indicate that we're growing just to grow. That's not our style, that's never been our style. We don't make acquisitions just to get that revenue side up. The revenue, hopefully, is connected and is connected to the future of the company. I'm trying to make the point that we did a lot of things, spent a lot of money to grow this company and we're going to have to do it in the future. But the net result is there is nothing we do that's not going to be more profitable than the current level. We will do a transaction if we can achieve a 10% EBITDA on sales. We might not get there for 90 days, but we're getting there. So there's no loss of control here. The company is still run in a very stiff way. So we're not out here. The revenue I'm not -- the most important thing in my life is not the N5. That's just a goal. It might be bigger next time and we will get there and we will do better and we will get between 9% and 10% EBIT, else we won't do the transactions or we won't grow organically. Can I give as an example where we addressed these acquisitions. We both -- at least in early part of this year, not on the map in front of you, so just kind of go with me on this. I suspect Autoform and Saet will negatively impact our margin, maybe Autoform to a lesser degree. But my point really is, or at least we'll meet their potential. I guess, my point is we as stakeholders in this company should be thrilled at what those are going to provide to us in terms of long-term value. So I know that it is -- we need and we are focused on measuring this company quarter-to-quarter, but those 2 businesses in the aggregate will provide well over $100 million in revenue in 2015 and considerably more and are businesses that were really deals that were done because of what they'll do -- maybe in the perpetuity is a strong word, but will be real, strong franchise businesses for us for a heck of a long time. So it's a tough business to sort of manage, if you're to judge if you will on a quarterly basis. At least it’s a small amount. 
Steve Barger: Just a couple of more. You must have known a month ago that you were coming in short on expectations. So why not preannounce? Why not give us some clarifying commentary in the press release? And can we expect a higher level of communication going forward? 
Edward F. Crawford: Well, I can answer that question by saying I had the opportunity to use what the people term as pre-release, I should have given that more consideration, than the results we have in the past. If I had to make that decision again, I might do it differently. So yes, we're going to increase the good news and bad news more quickly. 
Steve Barger: Yes, I think that would be appreciated by some investors. 
Matthew V. Crawford: Yes, the format has always been that these conference calls maybe we should reconsider how to do it, but we try to give a lot of detail. I know I spent a lot of time today walking through the issues, perhaps not on timely basis, but I hope we've provided enough color today in the discussion. 
Edward F. Crawford: Steve, I think we're implying -- trying in some of your questions, I think are good questions. We get the message. 
Steve Barger: Good, okay. Can you give us a dollar amount of orders that are delayed or canceled. And if you take a conservative look at the order book of backlogs, how much more might be at risk? 
Matthew V. Crawford: That's a great question. I will tell you that we have seen since the beginning, call it, the December time period as it relates to the oil and gas sector. So this would have been incorporated into our forecast today, but we have seen deferrals, specifically in the oil and gas sector in excess of $30 million, $20 million of which was slated for 2015 revenue. That is on the equipment side. We are not discussing impact of the aftermarket business. So in the context of that business, it is significant. Do I anticipate additional deferrals at this point? I hope not. I would say that the first round and hopefully the most aggressive round is probably past. We are still making equipment in that sector largely for customers that ordered it long enough ago that they're sort of net even at this point so they want to complete the projects. So I hope we've seen most of that on the equipment side. I doubt it. I would hope it not to reach the same scale though. Once again, tell me what oil is going to be in a month and perhaps I can answer that question better. 
Steve Barger: All right, all right. Last question, were there any nonrecurring charges in the quarter related to completed or prospective acquisitions that we should be adding back to maybe get a better view of the recurring activity? 
Matthew V. Crawford: There was really nothing material that's nonrecurring in the fourth quarter. 
Operator: Our next question comes from the line of Jay Harris with Axiom. 
Jay Harris: I wondered if you could give us a little better color on your exposure, aggregate exposure, to the oil and gas field? 
Edward F. Crawford: Jay, our -- we identified in our K we were around, I think, down actually, but for what it's worth we identified 4% of consolidated revenue as being directly sold into the oil and gas industry. 
Jay Harris: In your website, I see 2 areas, one -- I'm sorry? 
Edward F. Crawford: Go ahead, Jay, we're listening. 
Jay Harris: I think 2 areas. So one would be tubular goods and the other one would be, I'm going to call it pipe connectors, I'm not sure I'm using the right term. If those revenues hadn't started to decline in the fourth quarter, that 4% would have been a little higher? 
Matthew V. Crawford: I think that, as you mentioned or as you may have recognized from our results, revenue wasn't the issue. Our miss was on the profitability side. So I would suggest to you that maybe the 4% wouldn't be meaningfully different, but the profitability related to it was. 
Jay Harris: And what were the issues that caused the drop in margins? 
Matthew V. Crawford: I covered them in pretty good detail in my comments. I don't know that I can add much more, but I'd certainly good repeat that the couple of things. I think one is -- 3 things. One is the shift away from aftermarket business of both in terms of oil and gas and other during November and December created a mix that was decidedly capital equipment-oriented, which is traditionally lower margin. So that lower amount of aftermarket sales and expect it hurt us, number one, meaningfully. And once again, remember, a few million bucks at those margins would move the needle substantially on our EPS. And then also, we were being -- while we see considerable new business and backlogs, we are -- have been competing in an atmosphere on more highly competitive products in the equipment business relative to end market, for example, our steel and forging as opposed to our auto and oil and gas. And also we are more recently competing with a strengthened U.S. currency. We export a lot out of the U.S. And then those are all things that we think about going into '15. One thing we don't is it is a challenging -- a more challenging atmosphere in 2014 and '15 to scale a business, which is seeing record volumes like the equipment business in terms of finding skilled labor, in terms of some of our supply base that was overwhelmed. So we had some execution issues that I mentioned that I think we'll work through, but were impactful to the performance in the fourth quarter and in fact impactful right until the last days of the quarter. So that... 
Jay Harris: Switching over to aluminum. I thought I heard you say that there were some execution issues in your aluminum business. Could you go into a little more detail? 
Matthew V. Crawford: Sure, Jay. I know it's been a long march to get to the margins that we expect in the aluminum business. We continue, as you heard in my comments, to see strong sales growth. What I said was what's different -- I think, although it's not performing at or above our expectations, what is different now is we have 5 plants or 5 different businesses, if you will, casting facilities, and we're seeing some -- much greater stability in that price structure. We continue to try and execute on a consolidated basis because one of our larger facilities continues to perform well below expectation, but I want to paint the picture that while we haven't met our own expectations or yours, we're ushering in a period where we're starting to wrestle things on the ground on and the problems are becoming fewer and farther in between. 
Edward F. Crawford: This is a -- we're at the intersection that I have been looking for, for 4 years. I continue to mention that there's been a shrinking supply base here. And the company, a large private equity firm in the last 4 years is trying to roll up as many assets in this particular segment as possible. They're from a standpoint of the safety critical parts for example, the knuckles on the Ram Truck and the Ford-150 and others. They filed for bankruptcy last Thursday. It took a long time for them to kill themselves, but they finally have and it's clearly the largest unit in our aluminum business where we reside and there's already been firming -- the parts sell to the consumers on the price per pound of aluminum. So they are getting a serious firming in the aluminum sector and it's been a long time in coming, but I think we finally -- the private equity groups have finally run their course in the aluminum casting and machining business and this was someone with very, very big, had lots and lots of money and was very, very out of bound relative to pricing. We're happy with it. This is good. It's a rosy picture ahead of us in the aluminum casting and machining business. 
Jay Harris: Are there assets there that would be of interest to the company? 
Edward F. Crawford: Well they're split in 2 pieces of aluminum. We have 5 plants, for example, and we'll move [ph] them to have, I think, 7 plants for them to have long machining. There's a lot of interest in the machining business, here one in America. Very little, at this point, shown in the casting side. It's really a -- it almost has to be a strategic. This has been very expensive to the Big Three as they are trapped in the supply base that is now being chaptered so there's lots going on. There'll be plenty of assets. But quite frankly, if no private equity comes along and tries again, they fired and ran out so steam. They lost so much money. I think clearly that there are certain assets we could be interested in. But keep in mind, all the assets they have, their plants -- all their plants are filled because they dropped the price so much, that of course they filled them. But ever since they went into in chapter, of course, the prices have gone up. So everyone in this business is looking. I mean, we could not possibly handle the inbound need to transfer business out of those secured plants into ours. We are going to take advantage of it. This will create something very positive for us in the next 18 months. Big platforms like the Ram pick-up truck in play. So if the aluminum comes back to where it makes sense, we'll convert it. They've got all that business because we walked away from it. So we haven't been writing any business in the last 1.5 years because they took all that prices, but we're all over that market. The aluminum is a long story, it stayed a long time than where we are now and I've been -- we were right when we talked the [indiscernible] aluminum, maybe should have invested more money. But this is going to have a happy ending. This is a very big part of '15, '16 and '17. Keep in mind, the biggest job we have in the queue starts in the latter quarter of '16. We are sole manufacturer of the key component of the ten-speed transmission that General Motors and Ford plan to buy 2 million parts. So -- and that's a kind of 12-year deal. So we're okay. 
Operator: Thank you, ladies and gentlemen. There are no further questions at this time. I would like to turn the floor back over to management for closing remarks. 
Edward F. Crawford: I guess, I'm management. So I want to -- again, we're disappointed. We're not making any excuses. We think we're great stewards of the ship, which we have a big interest in personally and, to be clear about one thing. This is not being driven by the concept of increased revenues and the margins not following. That's a takeaway that I'd like everyone to think about. And secondly, again, as I've indicated, we get the message and I look forward to seeing some of you folks in the near future and we'll be standing by for any additional questions. And we look forward to posting a very, very strong '15, '16 and '17. So it starts today. And all of you that will enjoy St. Patrick's Day, the best, and thank you for your time and we'll move forward here and deliver you the type of company you expect. Good day. 
Operator: Ladies and gentlemen, this does conclude our teleconference for today. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.